Operator: Good day and welcome to the Cedar Fair Third Quarter 2017 Earnings Conference Call. Today's conference is being recorded. And at this time, I'd like to turn the conference over to Stacy Frole. Please go ahead.
Stacy Frole: Good morning and welcome to our third quarter earnings conference call. I am Stacy Fole Cedar Fair’s Vice President of Investor Relations. This morning we issued our 2017 third quarter earnings release, a copy of that release can be obtained on our corporate Investor Relations website at ir.cedarfair.com, or by contacting our investor relations offices at 419-627-2233. On the call this morning are Matt Ouimet, Our Chief Executive Officer; Richard Zimmerman our President and Chief Operating Officer and Brian Witherow our Executive Vice President and Chief Financial Officer. Before we begin, I need to caution you that comments made during this call will include forward-looking statements within the meaning of the Federal security laws. These statements may involve risks and uncertainties that could cause actual results to differ materially from those described in such statements. You may refer to filings by the company with the SEC for a more detailed discussion of these risks. In addition, in accordance with Regulation G, non-GAAP financial measures used on the conference call today are required to be reconciled to the most directly comparable GAAP measures. During today’s call, we will make reference to adjusted EBITDA, as defined in our earnings release. The required reconciliation of adjusted EBITDA is in the earnings release and is also available to investors on our website via the conference call access page. In compliance with SEC’s Regulation FD, this webcast is being made available to the media and the general public as well as analysts and investors. Because the webcast is open to all constituents and prior notification has been widely and unselectively disseminated, all content of the call will be considered fully disclosed. Now, I would like to turn the call over to Matt Ouimet. Matt?
Matt Ouimet: Thank you, Stacy and good morning, everyone. I'd like to start by again saying how proud I am of our entire Cedar Fair team with a special call out to our park employees, who continue to do the heavy lifting when it comes to delivering the best guest experience in the industry. We know that our investors appreciate a high level of transparency and therefore we are continuing our practice of reporting results through significant holiday milestones. With that said I'm pleased to report our best post-Labor Day performance in the company's history. As we anticipated, our Halloween events continue to grow in popularity and the record demand for these events helped to increase our net revenues on a same-park basis through this past Sunday October 29, to $1.24 billion up 1%, when compared with the same period a year ago. Since the end of the third quarter, we have generated a 5% increase in attendance and a 4% increase in average in-park guest per capita spending, reaffirming our confidence in our business model, along with the strengthen loyalty of our consumer base. Since we introduced our FUN forward long-term strategy in 2012, we have seen continued success from the commitments and investments we have made to enhance the quality of the guest experience and strengthen our business model. For example, many of the core capital investments we made in 2017, like those we made previously will have a significant long-term benefits well beyond this season. The two major water park expansions at Cedar Point and Knott’s Berry Farm created additional capacity, expanded the destination appeal of both parks and proved to be compelling features for season pass buyers. We also expanded our food and beverage capacity at all of our parks, along with new group catering facilities to help service our popular all-season dining and all season beverage programs and the continued buildup of our group business. And the addition of our WinterFest event at three more parks this year is yet another step in the process of extending our season and broadening our offerings to our guests. The introduction of a world-class wooden roller coaster at Kings Island, the addition of the Cedar Point’s Sports Complex and the renovation expansion of the Cedar Point Express Hotel in 2017, will also service well for many years to come. Additionally, we are focused on creating immersive, multi-week special events, which generate an urgency among guests to visit our parks. These events have had a significant impact on our year-to-date results and will continue to benefit as going forward. For example, this year we introduced a month-long event celebrating Canada’s 150th anniversary at Canada’s Wonderland our Park in Toronto. We also expanded our day time family Halloween offerings across all of our parks and continued to grow our night-time Halloween events. The expansion of our operating season into November and December with winter holiday celebrations has also driven record revenues from our advanced purchase channels, including season passes, all season dining and all-season beverage programs. This has resulted in more than 30% increase in our deferred revenues at the end of the third quarter. I also want to point out that the popularity of celebrate Canada 150 was so great that this event will become an annual tradition, featuring entertainment, and food and beverage offerings that recognized the great Canadian culture. When our fun forward strategy was originally announced, we discussed the significance of investments in new CRM and e-commerce platforms. We also built a new revenue management department and added new division leaders to develop best practices in food and beverage, merchandise, and group sales. Fast forward to today and we now have the foundation to capitalize on Big Data, deliver our focused message to current and prospective consumers and offer unique culinary experiences. The amounts we spend on capital investments and operations allows us to strengthen our offerings and maintain the quality of our existing assets. We’re continuing to provide a guest experience that sets us apart from other regional entertainment options. We see this differentiation manifested in the higher per caps we achieved, when compared with other generic amusement parks. We also believe our commitment to the guest experience and the quality of our assets is what makes Cedar Fair the best long-term investment in the industry. Our strategy for the past 30 plus years has been to take advantage of our strengths to balance near and long-term growth and ensure investors we can confidently deliver the distributions they rely upon through all economic cycles. As such, I’m pleased to report our Board of Directors has declared a 4% increase to our quarterly cash distribution payable on December 15 bringing our annual rate up to $3.56 and more than 5.5% yield at today’s prices. Now I’d like to turn the call over to Brian to discuss our third quarter and year-to-date results. Brian?
Brian Witherow: Thank you, Matt. And good morning, everyone. As Matt mentioned, we are very pleased with our strong operating performance through this past Sunday, October 29, which puts us on track for eight consecutive year of record revenues. Before I discuss the positive trends, we experienced October, I would first like to provide additional color on our third quarter results. It’s important to note that since our quarter’s end on the last Sunday of the month, our third quarter results for both 2017 and 2016, each include 13 weeks of operations and an equal number of weekend operations. As detailed in our earnings release, for the third quarter of 2017, we reported a $2 million increase in net revenues to a record $653 million. This was the direct result of a 2% increase in average in part guest per capita spending to $48.73. This increase was slightly offset by a less than 1% decrease in attendance and a $3 million or 4% decrease in out-of-park revenues. For modeling purposes, during the quarter we entertained 12.4 million guests and generated out-of-park revenues totaling $65 million. Excluding a non-core standalone water park that was closed in September of 2016, net revenues on a same park basis increased 1% or $7 million for the third quarter. During this period, attendance on a same park basis increased 1% or 103,000 visits an average in park guest per capita spending was up 1% or $0.39. The increased guest spending in the third quarter, when compared with the same period a year ago came primarily from improvement in pure in-park spending. Our food and beverage category led the increase in pure in-park spending driven by the continued growth of our all-season dining and beverage programs. This increase was offset by a less than 1% decrease in admissions revenue per capita which we attribute to a higher season pass attendance mix and recognizing season pass revenue over a greater number of park visits for the first time at three of our parks that will now be open in November and December. To take out the accounting noise for our season pass program and the recognition of revenue on incremental visits over a longer period of time, admissions per capita on a non-season pass basis increased 2% during the third quarter. As previously disclosed the tenants trends through the Labor Day weekend were below expectations due to more than a few instances of unfavorable weather on some of our traditionally peak attendance days. For example, on Labor Day weekend, Kings Island and our new Cedar Point shores water park were each forced to close for a day due to extreme weather conditions. While disappointing at the time, over the years we’ve come to realize that during the course of every season, there will be ups and downs in attendance as a result of macro factors outside of our control. Our job is to manage through these cycles and not let these factors become an excuse. Consistent with what we would have expected, as the weather normalized, we’ve seen attendance recover since Labor Day and trends improve over the remainder of the third quarter and into October, indicating once again the powerful draw of our attractions. Moving on to the cost front. Operating costs and expenses for the third quarter totaled $327 million, representing an increase of $11 million or 3% from the third quarter of 2016. The increase in expenses was largely due to increases in labor cost, additional operating costs associated with new multi-week special events, such as celebrate Canada 150. The timing of certain park maintenance projects and a legal reserve accrual. The increase in labor cost this quarter was primarily due to higher seasonal wage rates along with normal merit increases. Excluding the impact of the closed water park and other non-recurring costs, operating costs in the quarter on a same-park basis would have been up 2% over last year. Adjusted EBITDA which we believe is a meaningful measure of our park-level operating results was $334 million for the third quarter of 2017, down $2 million or less than 1% year-over-year. The decrease in adjusted EBITDA during the quarter of 2017 was primarily the result of the unfavorable weather conditions which reduced attendance at – on peak operating days. Again, we did see these trends improve in the latter part of the third quarter and into October, once weather conditions normalized. Overall, our park GMs and their teams have done an excellent job of keeping actual cost increases inside of budget in response to the shortfall in attendance through Labor Day. I can assure you that we remain highly focused on managing operating costs as we pursue our long-term strategy of maintaining our historically high adjusted EBITDA margins while continuing to invest in the guest experience. At this point in time, we anticipate our 2017 full year adjusted EBITDA to be between $480 million and $490 million and our adjusted EBITDA margin to be approximately 36.5%. We always remind everyone that it’s difficult to extrapolate partial season performance into full year results which is why we believe it's important for us to discuss our attendance and revenue trends through this past Sunday, October 29. Based on preliminary results same park net revenues through the first 10 months of the year were up 1% or $12 million to $1.24 billion. The year-over-year increase was the result of a 1% or 192,000 visits increase in attendance to 24.1 million guests. And 1% or $0.33 increase in average in-park guest per capita spending. During the same period, out-of-park revenues decreased 2% or $3 million to approximately $133 million. The increase in attendance was led by the ongoing popularity of our attractions, leading guest to take advantage of our advance purchase channels and in particular season pass sales. We believe this is a direct result of our marketing programs, our capital investment strategies and our special event programming all of which provide enduring reasons to visit our parks early and to visit them often. This has resulted in a combination of more season pass units sold and an increase in our average visit per pass holder through this past weekend. I’m also pleased to say this trend is continuing as advance sales for 2018 are off to a solid start. Given the shift in attendance mix towards season passes and the extension of our operating season into November and December for three more parks, we're pleased that we have also been able to generate continued improvement in guest per capita spending levels through this past weekend. The 1% increase in average in-park guest per capita spending was driven by improved spending in admissions, food and beverage, and premium product offerings. Now, let me highlight a few of the items on the balance sheet. Our liquidity and cash flow remained strong and we ended the third quarter in solid financial position with $250 million in cash on our balance sheet. At the end of the third quarter, our consolidated leverage ratio was 3.5 times well within our comfort range in the current credit market environment. For the near future, we expect our average cost of debt to be approximately 5.3% and annual cash interest cost to be approximately $85 million. Deferred revenues at the end of the third quarter were $87 million, up $21 million or more than 30% from the same time last year. More than two-thirds of this increase is associated with our record season pass and all-season dining and beverage sales for 2017 and the recognition of revenue on incremental visits over a longer period of time. The balance of the year-over-year increase is associated with a solid start to our 2018 advance sales programs. Finally, as Matt mentioned earlier, we are increasing our quarterly cash distribution by 4% to an annualized rate of $3.56 per limited partner unit. The $0.89 per limited per unit quarterly cash distribution is payable on December 15 to unitholders of record on December 4. The actions we've taken to strengthen our balance sheet combined with our confidence and the long-term growth of the business unitholders of record on December 4. The actions we’ve taken to strength our balance sheet combined with our confidence in the long-term growth of the business allows us to increase the distribution modestly more than our expectations for EBITDA growth this year. We remain committed to rewarding our unitholders with a sustainable and growing distribution that reflects the ongoing strength of our business model and long-term strategy. We believe the modest – the modest variations in EBITDA growth should not impact the expected growth in the distribution and ours – and as such are comfortable in committing to a target of 4% growth in the distribution each year going forward. As always, we’ll continue to prudently manage our cash flow to maximize value for our unitholders both in the near term and long-term. Now I’ll turn the call over to Richard to provide some further color on our longer-term outlook.
Richard Zimmerman: Thank you, Brian. This is an exciting time for Cedar Fair. As you’ve heard today, we are coming off our best post Labor Day performance in the company’s history and our season isn’t over, yet. We now have five parks preparing for their upcoming winter fest and holiday celebrations in November and December compared with two last year. These immersive holiday events will provide a better and differentiated guest experience within the regions we operate by featuring an imaginative themed areas, millions of vivid lights, specialty foods, ice skating and falling snow. Based on guest feedback from our two events last year, and the sale of season passes and other advance purchase commitments of this year. We expect our three new events in 2017 to entertain at least an additional 500,000 guests or roughly 2% of our overall attendance for the year. As we look forward to 2018, we have a tremendous capital lineup of new rides and attractions including four new coasters. You can read all about these world-class roller coasters in the news release, we issued earlier this week summarizing our capital program for next year. One of the most notable is Steel Vengeance, the world's first hyper hybrid rollercoaster at Cedar Point. The rollercoaster capital of the world and more than 200 feet tall, the new hybrid design combines a steel running track with a massive wooden structure that provides an extremely smooth ride while enabling the coasters train to perform maneuvers previously unheard of on a wooden model. Knott's Berry Farm will also be introducing HangTime, the West Coast first dive coaster enhancing its position as a must visit destination of Southern California theme parks. The new beach themed dive coaster will be a great complement to the successful Boardwalk area, we refreshed several years ago. We are investing in more than just new rides and attractions in 2018, which I believe is an important differentiator for Cedar Fair. We are also making investments that will provide us the opportunity to transform outdated sections of our parks into vibrant new areas, as well as providing new experiences for our guests through enhanced culinary, retail and immersive entertainment offerings. Our focus and investment in the overall guest experience has served us well in the past and will be critical to our success in the future. At this point in time, our five-year capital strategy includes approximately 10% of revenues being spent on marketable new rides, attractions, and park infrastructures on an annual basis. Through the use of cash on our balance sheet, we also plan to invest incremental capital dollars in the development of land adjacent to our parks, primarily aimed at activating incremental revenue streams. In 2018, this will include the new five-story addition to Cedar Point’s historic hotel breakers, which sits along the parks of mile-long beachfront, scheduled to open in May 2018, the 158 new rooms combined with the original hotel renovation and recent expands in the Cedar Point with the original hotel renovation and recent expansion of Cedar Point Shores water park will strengthen the park's appeal as a multiday family destination. We are now positioned to aggressively market outside our historical capturing to bring an incremental audience to the shores of Lake Erie. At the same time, while we have been investing in new attractions, we've also removed low capacity, high cost aging assets. Capital and operating expense productivity was a key initiative in our original fun forward long-term strategy and continues to be a priority for us going forward. We will remain disciplined in terms of taking out underutilized capacity to ensure fixed costs do not creep into our cost base. This is what allows us to consistently maintain our historically high margins between 36% and 38% without sacrificing the guest experience. Consistent with our past efforts, we will look to optimize revenues through a balanced approach between volume and price. We expect our average in part guest per capita spending growth will be driven by dynamic pricing, the introduction of new products and improved capture rates, while our attendance growth will be driven by volume-oriented initiatives such as season pass programs, immersive multi-week special events and the continued expansion of WinterFest. Additionally, our brand positioning work will remain a rallying point for developing attractions and programming that are true to the unique history and local market taste at each of our parks. The success of our brand positioning efforts has been most evident at our year-round park Knott's Berry Farm. This park now has four distinct seasons of fun, starting in the spring with the increasingly popular Boysenberry Festival before moving into summer with its immersive Ghost Town Alive! interactive experience, where park guests become part of the story. In the fall, the park transforms into Knott's Scary Farm, recognized as one of the best Halloween events in the world. To complete the year, the park along with Snoopy and the Peanuts gang celebrate the holidays with Knott's Berry Farm. The strength of Knott's unique regional brand and our introduction of seasons of fun have turned this park into the most visited regional amusement park in the United States. Carowinds in the growing Charlotte market is another great example of what can be achieved when this brand positioning strategy is successfully executed. Its unique brand position of where the Carolinas come together has helped this park already achieved its third consecutive year of record attendance in 2017. We also see great opportunities at our California's Great America Amusement Park, which sits in the heart of Silicon Valley and Cedar Point, our super regional destination which will be celebrating its 150th anniversary in a few short years. As you can see from today's call, the fundamentals of our long-term strategy remain in place. Our decisions are centered on providing our guests with the best day experience each and every time they visit our parks, while maintaining a disciplined approach to our cost management. We believe the 4% growth trajectory we've achieved since 2012 will continue in the years to come. The strong returns from our new rides and attractions on an annual basis combined with a quality long-term investments we've made across all our parks and the opportunities yet to be tapped support our expectation of continued success. Equally important is our 30-year history of delivering steady and predictable stream of income to our investors through all economic cycles. We know this predictable income stream is important to our investors and we were remain committed to steadily increase in our distribution to unitholders by 4% on an annual basis consistent with our expected long-term growth rate in adjusted EBITDA. We are excited to be a leader in industry with the potential to grow and we will continue to do everything necessary to be in attractive total return investment for our unitholders for many years to come. Finally, I would like to thank everybody for the tremendously warm response I have received as I transition into this CEO role at the beginning of next year. I appreciate the opportunity to lead our very talented team and sincerely thank Matt and the Board of Directors for entrusting me with this position. I would also like to personally thank Matt for being in such an incredible leader and mentor to me as well as to our entire executive team. His well-articulated strategy has guided us – has guided us to the - a leadership position within the regional amusement park industry and creates many opportunities for us to use our size and expertise to drive additional growth in the future. We look forward to his ongoing guidance and inspiration as our new Executive Chairman. I also look forward to meeting with all of you in the future, both on the midway and at upcoming investment conferences. Now, we will open the call for any questions you might have.
Operator: [Operator Instructions] And we’ll take our first question from Chris Prykull of Goldman Sachs.
Chris Prykull: Good morning. Thanks for taking the questions. Food and Beverage, it seemed particularly good despite the weather, we’re just wondering if you can give any more I was just wondering if you can give any more color on the success of all-season dining and the other initiatives that you have in place, that’s driving that strength. And then, as part of that can you provide some more details on the catering and restaurant upgrades expected in 2018 at that several of the parks all that you mentioned in the press release the other day?
Richard Zimmerman: Chris, it’s Richard, good morning. Thanks for the question. With relative to food and beverage you know our guests continue to tell us how important that is to our – to their overall experience, and how it impacts their view of our experience. A couple of things are driving it, and I’ll let Brian weigh in here in just a second. But all-season dining has been tremendously popular. We continue to see increase in penetration rates. But in addition to that, we also have invested in high end - in higher end food facilities and built four of them in 2017, more in the way in 2018, that allow us to provide both a better culinary experience, but really capture a lot more throughput and a lot more ability to service more transactions per hour. So, both of those items are driving to that that what we saw in food and beverage, Brian?
Brian Witherow: Yeah, on the second part of your question, Chris. Just dovetailing off of Richard’s comments, you know those same enhancements to the overall F&B experience and physical locations is been something we’ve been focused on as you know in the catering area. This is you know an area that we see a lot of opportunity for us. And so, it’s just a continuation, 2018 is a continuation of what we’ve been rolling out in 2016 and 2017 and in our upgrades to those areas bringing up to our standards. And so, what you can expect is parks like Knott's and Canada’s Wonderland that were, the next on the list to be addressed. Those are going to be – those are going to be focuses for us in 2018.
Chris Prykull: Great. And then, how should we think about the impact from the addition to Hotel Breakers in 2018, will be an ADR tailwind and occupancy tailwind in or a tailwind to both? And then, maybe as part of that, just any other details you can provide on the undeveloped land, how are you thinking about unlocking that value over time.? You mentioned tapping new revenue streams, any additional color there would be helpful? Thanks.
Brian Witherow: Chris, relative to the new 158-room expansion Hotel Breakers, we expected that we'll see increased demand next year with Steel Vengeance that I referenced coming in. But one of the things, I want to stress is we're replacing an aging facility Sandcastle Suites, which we’re tearing down with the new 158 acres. So, we anticipate probably a little bit of both, both ADR tailwind and a little bit of volume, and a little bit of WACC. With regard to your other question on the adjacent land, listen, we are still very excited about all the opportunities on the adjacent land. We've publicly commented it on hotels in Toronto and Charlotte and those continue to proceed. We're not ready to make a firm announcement yet, but it does continue to proceed. Brian, and I and the team continue to discuss what the opportunities are to unlock. We have partnered once again with the City of Sandusky in Erie County here at our flagship Cedar Point property to put together an indoor sports complex that will sit next to our outdoor complex. So, I can tell you that the adjacent land and what we do to unlock value for our unitholders is a high priority for me and the team.
Chris Prykull: Great. Thank you very much. Good luck.
Brian Witherow: Thanks, Chris.
Operator: Our next question comes from Tim Conder of Wells Fargo Securities.
Tim Conder: Thank you. Gentlemen, a couple of things, just maybe a little bit of color on your season pass, single day, and group business, where is that trending this year as a percent of your attendance mix? And then, I guess, maybe as a percent of your unique visitor mix, you can come both ways, and any comments on unique visitor trends within each of those categories?
Brian Witherow: Tim, this is Brian. As it relates to season pass, I mean as you know not only for us, but others in the space, it continues to be a growing channel for admissions. You know last year, we saw that number click up to 45% plus of our overall attendance. I would tell you as we you know – we're not done with the year yet and we fully expect WinterFest and Knott’s Berry Farm to play a role in where these numbers shake out. But that channel has continued to grow – grow and it's waiting and is pushing closer and closer to 50% or half of our attendance on an average base across the entire system, with the number of our parks well north of 50% even close to 60%. Group events continues to be a growing area for us as well. You know as I was alluding to earlier, that's one of the reasons why we're so committed to expanding and improving our catering facilities at the parks. And then as we think about uniques you know that is – that tends to move pretty consistently with some of those broader macro factors that we see during the course of the year. The unique visitor, the family or the couple that come once a year often influenced by the weather at a certain time of year. So, during the course of 2017, we've seen that bounced all around as weather patterns bounced all around.
Tim Conder: Okay. And along that line whoever wants to take this gentleman is there any way to quantify the weather impact in Q3 not only from the rains from the residual parts of the hurricanes, but maybe any fire issues impacting Santa Clara during the Q3.
Matt Ouimet: You know Tim, we've had a fair amount of internal debate on this and what I can tell you is that as we looked at September and October and saw the comeback in the October – and the pent-up demand, we knew that it was there. The dynamics of what we see, we saw exactly what we wanted to see. So, I don’t know that, we can give you an exact number, but I will tell you that everything we've seen since post Labor Day, our best performance in history, points to the strength in our business model and the loyalty of our customers that we expected to see going forward.
Tim Conder: Okay. And then maybe, general, if I may two housekeeping and one more broad question. The 500,000 guests, Richard that you alluded to, is related to the new expanded events. Was that a annual number or are you particularly commenting on Q4? And then related to the CapEx the 10% of revenues. Is that all encompassing or is there a part where you could have some incremental CapEx? So those are the housekeeping. And then, whoever wants to take this, Santa Clara, Valleyfair to just bringing of investments, where are we compared to the three-year plan that you launch and continuing on go beyond that at Charlotte? Thank you.
Brian Witherow: Well, let me dive into a couple of your – a couple of those, Tim, this is Brian. So, winter fest – the 500,000 net debt guests that Richard commented on, that's our first year, well second year, I guess for Great America expectation for the attendance lift lived in those three new parks. So, it’s at Great America site, which is in its second year, that's our expectation for attendance at those parks and it would all be fourth quarter of course with that event starting around the Thanksgiving holiday or just after. As it relates to the CapEx question 10% of revenues, as we said in our prepared remarks that's the amount that we believe is necessary to invest in the marketable new attractions and rise as well as the park level infrastructure to generate the 4% EBITDA growth that we're targeting. Incremental piece as Richard alluded to some of the things that we’re – were haunting in terms of activating the adjacent land around the parks that has the potential to sit on top of that. But, those items as Richard alluded to will be about activating incremental revenue streams that we like to think of as we'll call it sticky revenue or sticky EBITDA. Things that aren’t just episodic, but it provide a wholly incremental revenue stream that's sustainable and growable.
Matt Ouimet: So, Tim, relative to your question on Santa Clara and Valleyfair, when we look at Great America in next year, very excited about the coaster and we've got over a dozen other food and beverage and place making projects in line, I got to take you back to the success we've had at Carowinds where we went in and really did the same type of transformation. I’ll use a word I’d like to use. We learned a lot of lessons as we went through that. We've embedded them in our approach to Great America and we’re right - we've got a similar timeframe of three years or four years to make a major impact in that market. So, I think we're right on schedule on that one. In terms of Valleyfair, a little bit more complicated and you'll see us continue to study that one and figure out what the – what the right cadence is and what the right size is. We recently completed our brand positioning work there and we're leaning heavily into that to determine what our next steps will be in the future.
Tim Conder: Okay. Thank you, gentlemen.
Operator: From Stifel, our next question comes from Steve Wieczynski.
Steve Wieczynski: Yeah. Hey – hey, good morning, guys. So, I guess when you look at that – that 4% EBITDA growth kind of forecast that you guys have out there for the next couple of years, can you break down maybe how you guys kind of come up with that number, I’m just – I guess it’s just kind of high level? How you think the – how do you I guess it’s just kind of high level you know how you think, how do you think about the business going forward in terms of operating expenses, attendance stuff like that, and then just what I'm getting is, how are you getting to that 4% number?
Brian Witherow: Yeah, Steve, it’s Brian. I mean so as Richard said, when you look back at the last six years, and sort through everything, we’ve grown at basically that pace over the last six years and as you can tell it's never as nice and smooth the growth as maybe we would like or our investors would like, they can tend to be a little choppy based on macro factors like the weather, as well as our capital program. So, as we look ahead, we're confident that with the core assets that we have under management that we can continue to maintain that growth pace that we've been on for the last five years or six years. It's going to probably continue to be a little choppy. We're extremely excited about 2018 and as Richard mentioned the four coasters that we're introducing along with a number of other new rides and attractions across the system so we think the 2018 capital program may be as good as we've ever had. And so, with what that growth looks like in 2018 maybe a little bit ahead of that 4% pace. But we’re talking about what the average looks like over the next five to six years and I think as I said we're pretty confident and comfortable that we can continue.
Steve Wieczynski: So, if I ask that a little bit differently. If we had a, if we have a stable weather environment for the foreseeable future and we have a stable economy basically where it is today. Looking back though you would say that, that 4% number would be probably conservative, is that fair to say?
Matt Ouimet: You know I'd say Steve that looking back while we can grab a year that might have some bumps in it and growth wasn't what it was over the broad window of time in the last six years, I would say those that situation has sort of played out right, I mean some years were a little better than others, I don't know that we're ever going to have perfect all of those, those I would say those that situation is sort of played out, right. And some years are a little better than others, I don’t know that we’re ever going to have perfect – you know all of those categories that you outlined. So, I’m going to say that the 4% is probably the realistic and most practical way to look at growth in Cedar Fair going forward.
Steve Wieczynski: Okay, got you. And then second question is just a bigger picture question, it’s for Matt and Richard, I guess, you know with the transition kind of coming along and I guess maybe Richard for you to start is you know do you see any big changes in terms of philosophy or the way you’re going to – you know take the company versus the way Matt run it, which obviously was outstanding. Any big changes there, anything that you think you know might need to be addressed a little bit sooner?
Richard Zimmerman: Great question, Steve thank you. I think a lot of the – we have a strong foundation for growth, and we’ve built so many good things that I think that are not only long-term investments in facilities, but long-term investments in our capabilities and the resources within our company. We’re going to continue to mind those. A lot of what you’re going to see is a continuation of some very successful strategies, which you know have been – which have done really well for our unitholders, and you know have really provided our guest with an enhanced experience that we continue to leverage today. Of the same things, but as we get into 2018 and 2019 you know we’re going to lean hard into places where we think that there is more growth to be unlocked. And I will tell you you’ve heard me say and I’ve talked to it when I’ve met with investors, how important our guest experience is, you’re going to hear me lean more and more into how important our employees experience is, to provide that guest experience. We have hired you know a new Head of HR, Craig Heckman, and we’ve we got big plans to modernize our whole approach to HR, we underwent a similar journey when hard Kelley Semmelroth, our CMO back in 2012 to modernize our approach to marketing and I’m really excited about this initiative to make sure that we've got the quality workforce we need to provide the service model that I think our guest deserves. So, Matt?
Matt Ouimet: Yeah. Morning, Steven and I was actually enjoying not answer any questions. Look I – Richard has the benefit of 30 years in this industry. We're very fortunate to have that type of back and he's been a thought partner for me ever since I got here. And he also will have a very active engaged board as a collective group of thought partners. What I do know is, I've already seen him and I'll say this in my closing comments again I'll be a little redundant already seen Richard aggressively go after things that maybe I hadn't gotten to, and that’s politely. And so, I don't think you're going to see a lot of change here. What I hope you see is that the continued growth that we've demonstrated over the last five years.
Steve Wieczynski: Okay. Great. Thanks guys. Thanks for the color.
Matt Ouimet: Thank you, Steve.
Operator: Our next question comes from Barton Crockett of B. Riley FBR.
Barton Crockett: Okay. Great, thank you. It’s Barton Crockett and thanks for taking the question. I think one of the things is just looking a little bit closer at your guide for the year, which would imply I think like in 16 or so percent to 34% or so kind of growth in EBITDA year-over-year in the fourth quarter. Is the fourth quarter a period where you think there's a reason to expect margin expansion or you know should our base kind of case be that maybe there isn’t margin expansion and revenues are up meaningfully partially because of these 500,000 incremental guests?
Brian Witherow: Hey, Barton, it’s Brian. As I said earlier, I'm very excited about the opportunities to continue to expand the season into the fourth quarter with winter fast and not only the three new parks but the continued evolution and growth at Great America and even Knott’s Berry Farm for that matter, I mean we're up against some hopefully what will be a low bar in terms of whether it’s Knott’s Berry Farm in December of 2016. That said as we think about things from a margin perspective. First year of WinterFest, as we saw with Great America is pretty cost laden as – with the related startup costs. So, long term is our opportunity with margin and the addition of those incremental bodies in the fourth quarter. Sure, there’s no doubt about it but I think our expectations are that it's going to be a little bit slower and developing.
Richard Zimmerman: Yeah, Barton. This is Richard, good morning. By the way one thing to keep in mind is our strong October performance, will also have an impact on the fourth quarter, so just a point that out to you?
Barton Crockett: Okay. But – but this is really, a strong revenue quarter and the fourth quarter year-over-year, it’s really essentially what you are saying?
Richard Zimmerman: Yeah. I mean definitely, I mean we expect those bodies, those guests coming to – for WinterFest as well as Richard had said that the strength that we just articulated that October represented fourth quarter should definitely be a nice top line quarter comparative of 2016.
Barton Crockett: Okay. And then – then stepping back, jerry big picture, may be overly big picture, but you know your business is obviously incredibly sensitive to weather. And I know the base kind of commentary from everyone is that weather normalizes and you get good days and bad days and overall, it's kind of a stable scenario. But I'm just wondering if you really think that, that's the best base assumption that there is a stable scenario or not you know, this may be an unanswerable thing but, you know, one of the things that it would seem as if you know there is some degree of changing weather patterns, this may be negative for summer but maybe expanding the warm weather opportunities into things like Christmas. May be these kind of expansions into winter in the park are hedge against patterns – weather patterns changing. And I’m just wondering if you guys think about that if that enters into kind of your strategic thoughts about the expansion of the holiday period investments in activities.
Brian Witherow: Barton, let me jump into this one. The broad macro, we can't control, we certainly react to, but one of the reasons we put in place such a strong emphasis on advanced purchase commitments is to make sure we get that commitment early, it benefits us in a lot of the way and helps us overcome some of these factors you've pointed out. The other thing I would say is it just for to know, now as we continue to see the increase in our season pass base because it provides such a great value. We also see in terms of all season beverage and all-season dining, those guests that purchase that their NPS scores are higher and their renewal rates are higher. So, as we continue to think about the issues that you’ve pointed out, I think we focus back on the guest experience providing the – a really compelling reason to come visit early and often and really jump into that advanced purchase commitment.
Matt Ouimet: So, Barton, this is Matt. Look I think we are not maybe a visionary to think about climate change in terms of our decisions. But I do think we've positioned all of our parks to be responsive to whatever the weather conditions are, an example is the water parks with the major renovations we've made to almost all of our water parks across the system, so if we have an unseasonably hot summer we can accommodate that more and more Richard and the team are creating indoor dining facilities of scale much like the harmony hall, we have Carowinds, et cetera, which work both in hot weather and cold weather, etcetera. So, I can't tell you that that we have thought about it as broadly as you just laid out. But I do think all of us in the industry should make sure that in the infrastructure is designed to deal with whatever changes come across our radar, literally our radar.
Barton Crockett: That's great. Thank you very much.
Matt Ouimet: Thanks, Barton.
Operator: Our next question comes from James Hardiman of Wedbush Securities.
James Hardiman: Hi, good morning. Thanks for taking my call. I just want to say congrats, Richard on the new gig. I'm looking forward to working with you some more and obviously Matt thanks for your stewardship over the years. I think a lot of people listening in on the call have made a good amount of money on Cedar Fair units over the last five years or six years. So, thanks for that.
Matt Ouimet: That’s five James.
James Hardiman: Yes, let's hope so. So, I wanted to stay on the weather conversation. I know your favorite topic, but obviously it was a disappointing summer last year. And I think we blamed the bulk of that on weather. We seem to be in the same situation this year. Obviously when weather is bad, your parks don't do as well when it gets better they do better. But on balance, are you saying that weather was materially worse this year than it was last year. And I guess beyond that I feel like we talk about weather every year was it significantly worse this year than it's been maybe the last handful of years?
Brian Witherow: Yeah. James, it's Brian. So, I'll go back to what you just – the comment that you just made, which was the weather tends to average itself out over the course of the year. Clearly, when we talk about smaller bite size of the season, through Labor Day, I would tell you I think and everybody in the space would probably say the same thing, it was challenging. Weather since Labor Day has been solid, if not very good and the attendance has followed. Through all that I think when we sort back and if we strip out Wildwater Kingdom and look at the parks that we had under management even in spite of challenging weather, we still saw even in spite of challenging weather, we still saw attendance being close to flat, maybe off just a little bit. But most of our attendance shortfall even through Labor Day, the biggest chunk of it was more comparability issue with Wild Water Kingdom. So, listen as we don't like to talk about weather as Richard said, but when you look at short windows of results, it's hard to ignore the impact that it has. And another thing I would just throw out is at times it isn't is really just the weather itself. It's the forecast that we're dealing with. And so, you know, when we're sitting under a nice high-pressure system and the weather forecasters are talking about a sun, sun, sun and not a chance of rain, the guest mindset is very different, when then we're dealing with the impact like we did around Labor Day with the implications of the tropical storm that Harvey created, sweeping up through the Midwest and into the East. So, you know, weather is what it is. We know we can’t make excuses rather, however we just to figure out how to work around it.
James Hardiman: So, let me ask the question in other way. I mean, you were hoping to get to $500 million this year. Obviously, it looks like we're going to come in a little bit short of that. I guess, in absence of knowing sort of how this year compares to last year, are you seeing and obviously you talk a lot about your CRM system and understanding your customer better than ever. Are you seeing particular parks that are maybe underperforming others exclusive of weather? Are there particular demographics that are maybe outperforming others, whether it's age, race or geography? Is there anything you can tell us from a consumer perspective or from a geographical perspective that might help shed light on sort of what has been, I think a little bit worse than most we’re expecting this year?
Richard Zimmerman: James, this is Richard. One of the challenges we have is, we can't always talk averages. Matt has said this forever. When we look at some of the components. I reference Carowinds having a record year for the third year in a row in attendance. Record at both the water parks where we expanded. We’ve got some very good stories within it. The answer is never in the averages, James but when we look at the things that that we really look to see the consumer response be it in any demographic category or in a particular region. We’re seeing the response that we want. So, the Great Lakes region we called out in August. Brian talked about the Labor Day and Harvey. The Great Lakes region we’re geographically concentrated there. But as the weather has gotten better there and that’s so we certainly had impacts through Labor Day but again as we’ve seen the normalization, we’ve seen tremendous response from those parks and you can read through that we’re very pleased with October as we’ve said particularly in the Great Lakes region where we’ve got three or our four biggest parks.
Matt Ouimet: Yeah. And, James, the only thing I would add is, I don’t think that there’s anything that we see at one park versus the others that would tell us fundamentally that anything is changing in term of our consumers tastes, in terms of the demand for the product and the entertainment offerings that we -- that we have, so there is there. We still feel that everything is very healthy. And I think park by park, the post-Labor Day results would support that.
James Hardiman: Got it. And then Brian, I think, you made a comment in your remarks that 2018 maybe we’ll do even better than that – that 4% longer term growth rate, obviously that would be a pretty meaningful acceleration versus what looks like, I guess, about 1% growth at the midpoint this year. How should we think about what’s driving that acceleration, I guess if the answer is weather – the answer is weather, but I just want to understand sort of the puts and takes. And then, you’ve given us some real good guideposts in terms of how to think about the incremental WinterFest for this year's fourth quarter, any idea how we should shape that up, as we look to next year?
Matt Ouimet: So just leveling back up for a second to the first half of your question. 2018 I guess my comment, probably more or so, I should caveat with it really depends on where we finish 2017, all right. We still have a couple of months left here in 2017 and some high expectations for WinterFest. And so, depending on where we finish, that clearly is going to have some impact and influence on how I might answer that question, as it relates to 2018. I'm not going to tell you on one hand that whether we're going to expect great weather, it really is more about our excitement around 2018 is really grounded in our capital program. Four coasters including a major coaster at the flagship park and a big coaster at Knott’s, our second largest park is a great – are great anchors for an outstanding 2018 capital program. And so that's what's got us exciting. Sure, we'd love to believe that July and August are going be a little bit nice for next year, but that will be what it'll be and it's outside of our control, so we'll work around it. And As it relates to WinterFest I can’t give you specifics at this point in time, we need to see how those events develop at the three new parks this year to really understand what the potential is for them in a year two as well as the additional parks that will come on online even after that. So, we need to get through our first year of those parks and a second-year a in Great America, but we fully anticipate those events to continue to develop over a three-year or four-year period. And I would tell you we do think it probably is a normalized run rate around that fourth year or fifth year when awareness has been built and we can start pricing into the demand.
Operator: And from Macquarie, our next question comes from Amanda Adami.
Amanda Adami: Hi, guys. Thanks for taking the question. I know you've talked extensively about weather so far. So, not to belabor the topic, but I was just wondering specifically if the wildfires in California had any impact on Knott's Berry Farm attendance. And if so, would October have been even a bit stronger here, if not for the fires?
Richard Zimmerman: Amanda, thanks for the question. It’s Richard. No, we didn't see any impact at Knott's Berry Farm. We were pleases with there in September and October.
Amanda Adami: Okay. And then one more. Could you give any detail on what kind of percent price increase you're seeing on your 2018 passes that you've sold so far?
Richard Zimmerman: We're not going to get into, I mean I can’t give you specifics. I will tell you the approach around season pass in the last couple of years 2016 and 2017 and 2018 program is going to be very similar. We’ve pushed overall price increases that’s been in the low to mid-single digits in terms of lift. It’s such a small piece of the full program that’s -- that I don’t want to comment and we’re right at this point in time and I’ll then say we’re pleased with the start – the solid start to the sales program. And they were running pretty much to similar playbook to what we did in the last two years.
Amanda Adami: Okay. Great. Thank you very much.
Richard Zimmerman: Thanks, Amanda.
Operator: And we have a follow-up question from Tim Conder of Wells Fargo Securities.
Tim Conder: Thank you for taking the follow-up. Brian, on the maintenance cost that you mentioned, were those pulled forward here and should that then been there for may Q4 or maybe Q1 from that perspective a little bit easier versus those pulled forward cost?
Matt Ouimet: Tim, are you talking about the pure P&L hit of maintenance, some of the timing of the maintenance that we referred to?
Tim Conder: Yes.
Matt Ouimet: Yeah. So, the opportunity for us to sort of control maintenance cost as most available in the first and fourth quarters when a lot of those projects are more discretionary in nature. During the course of the season we have a roller coaster go down from a lift chain breaking or whatnot. We’re repairing and fixing that immediately so that the guest service doesn’t’ sacrifice. So, the time – when we talk about timing it’s probably - at this point the third quarter numbers, it’s probably more about just the timing of when those types of incidents happen. I would say from a quarter-to-quarter as I look at 2017 to 2016 not anything dramatic or material in terms of the difference between the two years. And as I said in my prepared remarks, the parks have done an outstanding job given the shortfall they had earlier on of managing out of a lot of the discretionary items and are doing so in the fourth quarter of this year for all those same reasons.
Tim Conder: Okay. And then another question – ongoing question here is yet to be asked, any rethinking of your approach to season passes, the traditional pass versus potentially looking at a more of a ongoing membership type of approach. And then lastly, due to some issues here you didn't achieve the 500 goal this year, even though that would have been a year early. When should we expect maybe a new strategy rollout being given?
Richard Zimmerman: Jim, it’s Richard relative to your season pass question was we’re very comfortable with our approach. We monitor everything that happens in our industry, but we've driven record season pass sales growth and in of all season add-on products year after year. So, we're very comfortable with our approach. You know we've trained the market, the markets are responding and we see great value in market certainly have told us, is it the regional markets we operate in that there is great value. So, we're comfortable with that. We’ll always continue to monitor everything that goes on within the space. Relative to long-term guidance you know we see 4% as the average. There will be years we are probably over perform a little, years as Brian said choppy as you've seen over the last six years where we don't quite get there. But we look at it over the longer term that that 4% number is sort of our aiming point and our anchoring point. So, you know from a – we're not going to give a specific year or a specific number. We're just pointing towards trying to make sure that we deliver on that year after year after year into the future.
Tim Conder: Okay. And again gentlemen, thank you for the consistency in your approach.
Richard Zimmerman: Thanks, Tim.
Matt Ouimet: Thanks, Tim.
Operator: And that concludes today's question-and-answer session. Mr. Ouimet, I'd like to turn the conference back over to you for additional or closing remarks.
Matt Ouimet: Thank you, operator. I would like to thank all of you for the support you've given me personally and our team here at Cedar Fair over the years. Richard is absolutely the perfect person to lead the company into the future. He has been an outstanding thought partner for me and I've already seen him as I mentioned earlier aggressively addressing the opportunities and challenges we will face in the future. This is a great company and I look forward to continuing to work with Richard, his team and the board in my new role as executive chairman. I also want to close by saying how much I've always value the active dialogue we have had with our investors. These discussions have clearly informed and improved the decisions we've made. I know that this approach to investor engagement and transparency will remain a core value under Richard's leadership as well as Cedar Fair’s commitment to making decisions that drive both the near and long-term results. Thank you, Stacy.
Stacy Frole: Thank you everyone for joining our call today. Should you have any follow up questions, please feel free to contact our Investor Relations department at 419-627-2233. We look forward to speaking with you again in about three months to discuss our fourth quarter and year-end results.
Operator: And this does conclude today's presentation. Thank you all for your participation and you may now disconnect.